Operator: Greetings. Welcome to the E2open First Quarter Fiscal Year 2024 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Dusty Buell. You may begin.
Dusty Buell: Good afternoon, everyone. At this time, I would like to welcome you all to the E2open fiscal first quarter 2024 earnings conference call. I am Dusty Buell, Head of Investor Relations here at E2open. Today's call will include recorded comments from our Chief Executive Officer, Michael Farlekas; and our Chief Financial Officer; Marje Armstrong. After those comments, we'll open the call for a live Q&A session. A replay of this call will be available on the company's Investor Relations website at investors.e2open.com. Information to access the replay is listed in today's press release, which is also available on our Investor Relations website. Before we begin, I'd like to remind everyone that during today's call, we will be making forward-looking statements regarding future events and financial performance, including guidance for our fiscal second quarter and full year 2024. These forward-looking statements are subject to known and unknown risks and uncertainties. E2open cautions that these statements are not guarantees of future performance. We encourage you to review our most recent reports, including our 10-Q or any applicable amendments for a complete discussion of these factors and other risks that may affect our future results or the market price of our stock. And finally, we're not obligating ourselves to revise our results or these forward-looking statements in light of new information or future events. Also, during today's call, we will refer to certain non-GAAP financial measures. Reconciliations of non-GAAP to GAAP measures and certain additional information are included in today's earnings press release, which can be viewed and downloaded from our Investor Relations website at investors.e2open.com. And with that, we'll begin by turning the call over to our CEO, Michael Farlekas.
Michael Farlekas: Thank you, Dusty, and thanks to everyone for joining us today. I'll begin with some high-level remarks on our fiscal first quarter performance as well as an update on our key strategic focus areas. I'll highlight a few important client success stories and provide my perspective on what they indicate to our strategic market position and our go-forward growth potential. Finally, we will review our first quarter financial results and provide our second quarter guidance. We'll then open up the call for your questions. Let's begin with our first quarter performance. Overall, we had a solid quarter led by our subscription business. Subscription revenue for the first quarter was $135 million, representing 84% of our total revenue and above the high end of our quarterly guidance. Although we beat guidance, our Q1 subscription growth rate at 4% in my view is below our potential. Despite the slower growth period, we experienced in FY'24, during the quarter, we maintained high profit margins drove strong cash flow and continue to build operating leverage in our business as we grew adjusted EBITDA faster than revenue. As we communicated on our Q4 earnings call, the softer subscription revenue growth we are experiencing this year is primarily a function of two factors: The first is a delay in large deal closings as clients continue to scrutinize their spend on long-range strategic projects due to the current macroenvironment. The second is a timing of churn being more heavily weighted in Q4 '23 and the first half of '24. So far in FY'24 as we had expected, the overall macro trends have remained similar to the second half of '23. It is still taking longer to close new deals. However, during the first quarter, we were able to close several deals that were delayed from FY'23. I'll describe one of those for you in more detail in a few moments. Our professional services business continues to be impacted by weaker spending by some of our larger technology clients on ongoing services projects. That's it. Our professional services results also reflect the early signs of success in building a robust ecosystem of system integrators as part of our broader growth strategy. As a reminder, our system integrator strategy as well as our addition of new subscription products that have little to no attached services revenue will cause our services growth rate to be lower than our subscription growth rate as we transition a portion of the information services work through the SI ecosystem. This is consistent with our bedrock principle of profitable growth as we focus our attention on driving very high margin subscription revenue. As I emphasized on last quarter's call, our top priority for E2open is transitioning from an acquisition-oriented company to one that can drive rapid and sustainable organic growth at scale. Over the last year, we are taking multiple actions to strengthen our go-to-market capabilities, including a brand refresh, hiring our first regional EMEA president and bringing in new leadership and professional services and sales operations. During Q1, we made changes to our sales model to increase sales coverage ratios for high potential clients and reallocate spend for account-based marketing. Today, we took another important step in this process, with our announcement that Greg Randolph will join E2open in the newly created role of Chief Commercial Officer. In his new role, Greg will lead our commercial organization with a keen focus on increasing our subscription growth rate. Greg is a highly accomplished executive, who has led high-performing sales teams and go-to-market transformation at leading software enterprises such as Quest Software and CA Technologies. He has significant hands-on experience in selling those that are similar at E2open, including managing complex sales cycles with large enterprise clients, marketing and selling a platform that consists of diverse solutions and utilizing cross-sell to expand existing clients to use of our platform. Greg is a great fit for our organization and for the new role of Chief Commercial Officer. He and I'll work closely over the coming quarters to enhance and further build out our repeatable sales model to drive the organic phase of E2open's growth. Before concluding my remarks and turning the call over to Marje, I want to describe for you some exciting business highlights from the first quarter. In the first quarter, we closed a large project with Ford Motor Company that builds on E2open's prior success and strength in the automotive industry transformation. We believe this win demonstrates our ability to deliver on multiple levers of E2open strategy. It advances E2open's path to become the SaaS supply chain platform provider of choice, the largest network enabling multi-tier supplier collaboration across the automotive industry. It exemplifies the need for multiple solutions across our connected supply chain platform for business operations. It also proves our ability to engage our clients for cross-sell opportunities and demonstrates that system integrators are integral strategic partners, particularly among large projects. This new project deserves special attention because it highlights the value and potential we see in our platform in areas such as technology leadership, strategic partnerships and organic growth. Our prior work with this iconic client allowed us to build deep collaborative relationships and provide a strong basis for engaging them on additional areas of their business. The automotive industry is undergoing a major technology shift from traditional internal combustion engine vehicles to smart electric vehicles that heavily rely on microchips and sensors. These critical components are globally constrained. There are simply not enough of them to meet the diverse needs of the global economy. As a result, the auto industry has been challenged to meet customer demand for cars and is now adapting to manage constrained supply much in the same way that the high-tech industry adapted over past 20 years. Our network and application were built specifically for this purpose and are ideally positioned to help the auto sector adapt to an increasingly complex manufacturing process. Through E2open's deep experience in executing transformative projects with automotive leaders, this win demonstrates E2open's ability to expand client relationships and implement multiple solutions across our connected supply chain platform. A key ingredient to this success, especially for supplier collaboration, it is E2open's reusable network of our 420,000 connected parties. This win and several other transformational wins in the quarter highlight our primary competitive advantages, namely, the unique nature of our network-centric software platform and our deep experience serving large customers with complex global supply chains. We also had several other success stories from our first quarter. During the quarter, a leading provider of IoT services for transportation and logistics application selected E2open's advanced supply chain planning and collaboration solutions to manage demand, supply and inventory across its operations, the client will now be able to automate more tools and communications across the supply chain network, stay ahead of potential disruptions and respond more quickly to changes in customer demand. Our technology leadership also received a major recognition during the first quarter. For the first time, E2open was named a leader in the 2023 Gartner at Magic Quadrant for Transportation Management Systems. We believe that combining key aspects of our global network and platform with the highly scalable multimode and multi-regional transportation management system requires a muted combination helped us achieve this improved position. During the quarter, we completed multiple go-lives across a number of product suites, industries and geographies. This includes deploying E2open's Global Trade Management solution for Rio Tinto, the world's second largest metals and mining company operating in 35 countries. Each quarter, we add new functionality to our software platform to better serve the supply chain needs of our diverse client base. As just one example, during the first quarter, we released enhancements to our Global Logistics Orchestration Solution or GLO that further automates and reduces risk associated with global shipments. These enhancements automate previously time-consuming manual tasks such as rebooking all legs of committed shipments and screening against government list of denied or restricted parties. Speaking more broadly about software innovation, I also want to comment on our company's approach to artificial intelligence. While the world is now paying close attention to how AI can be commercialized more fully, I want to make clear that E2open has used artificial intelligence and machine learning to enhance our software offerings for nearly two decades. AI is a core element of our demand sensing and inventory optimization solutions that support the global operations of some of the world's largest companies. We also rely heavily on AI to process the billions of transactions that flow through our network and perform critical functions such as data anomaly detection. AI is and will remain very important to our product innovation strategy. As we make further investments in our software platform, we will continue to look for ways to further leverage the power of AI for the benefit of all of our clients and our company. Before closing, I want to express my many thanks to E2open's 4,000 talented team members around the world for demonstrating our company's operating principles and values every day. Your commitment to build stronger client relationships to innovate and to operate efficiently are key to our company's success and to the unique value proposition we provide to our clients. And now I'd like to hand the call over to Marje to review our first quarter financial results. Marje?
Marje Armstrong: Thank you, Michael, and good afternoon, everyone. I want to start by thanking the E2open finance team as we've had an incredibly productive start to the year with several notable accomplishments. We went live with the ERP integration of our acquired logistics business, drove a variety of improvements focused on driving cash flow and operational efficiency across multiple company functions and completed the build-out of our finance leadership team. These efforts helped E2open achieve strong profitability and drive operating leverage during the first quarter, despite the below normal top line growth rate. As I mark my one-year anniversary as the CFO of E2open, I'm proud of what the finance team has accomplished in a short time. Turning to results, I'll start by reviewing our fiscal first quarter 2024 and then close with a discussion of our Q2 and full-year FY'24 guidance. Subscription revenue in the fiscal first quarter 2024 was $134.9 million, reflecting an organic growth rate of 4.2% and 4.4% on a constant currency basis when adjusting for the negative $0.3 million year-over-year impact from foreign exchange fluctuations. Our subscription revenue came in above the high end of our $131 million to $134 million guidance range, primarily due to the timing of large deals that closed earlier than expected during the quarter. Professional services and other revenue in the fiscal first quarter was $25.2 million, reflecting an organic growth rate of negative 18.2% and negative 17.1% on a constant currency basis when adjusting for a negative $0.3 million year-over-year impact from foreign exchange fluctuations. On our last earnings call, we noted that our fiscal '24 first quarter services revenues were expected to decline sequentially from our Q4 of FY'23. We expected this decline in part due to the strategy we have undertaken to transition services revenue to our system integrator partners. However, Q1 services revenues came in weaker than expected primarily due to the continuing trend of weak spending by large customers on ongoing service projects that have traditionally been an important source of baseline service revenues for us. As Michael noted earlier, we have recently brought new leadership into our services organization as part of our larger plan to enhance and reorganize our go-to-market function. These changes should help us maintain our profitable services franchise even as we continue our strategic pivot to shift services work to integrators, partners as a means to drive faster future subscription growth. We're seeing positive momentum with our customer base on expanding existing PS projects and discussing new engagements. We expect services revenue to be sequentially flat to slightly higher in the second quarter and to further improve sequentially in the second half of the year. Total revenue for the fiscal first quarter was $160.1 million, reflecting organic growth of negative 0.2% over the prior-year quarter and 0.2% growth on a constant currency basis after adjusting for a negative $0.7 million year-over-year impact from foreign exchange fluctuations. Turning to gross profit, in the fiscal first quarter of 2024, our gross profit was $110.4 million, reflecting a 0.8% decrease on an organic basis and 0.7% decrease on a constant currency basis. Gross margin was 69.0% in the first quarter or 68.7% on a constant currency basis compared to 69.4% in the prior-year quarter. The small year-over-year reduction was mainly due to lower Q1 professional service margins, which we expect to improve in the second half as services resource utilization improves. Turning to EBITDA, our first quarter adjusted EBITDA was $53.8 million compared to $51.4 million in the prior-year quarter, an increase of 4.6% and 3.4% on a constant currency basis. First quarter adjusted EBITDA margin was 33.6% or 33.0% on a constant currency basis compared to EBITDA margin of 32.0% for the prior-year quarter. This continued growth in adjusted EBITDA which grew faster than total revenue during the first quarter reflects an incremental benefit in the first quarter from headcount-related cost actions as well as lower spend on consulting, contractors and facilities, More broadly, our EBITDA performance again demonstrates our ability to realize the benefits of operating leverage, which is fundamental to how we run the business. While accelerating growth is our number one goal and we are committed to invest as needed to drive the top line, we will maintain our strong focus on an efficient cost structure and operational discipline. Finishing up on profitability, net loss for the fiscal first quarter of 2023 (sic) [ 2024 ] was $360.9 million. This net loss figure includes a non-cash goodwill impairment charge of $410.0 million during the quarter. As previously discussed, the carrying value of E2open's goodwill increased significantly as part of our IPO transaction because it was reset using the offering price of $10 per share. GAAP requires companies to continually monitor goodwill carrying value by evaluating potential triggering events, including share price declines. It is important to note that the triggering event for the Q1 impairment was a decline in our share price that took place following our Q4 FY'23 earnings release. We want to emphasize that the impairment charge was not driven by operational performance issues related to any of our products or acquired businesses. Now turning to cash flow. During the first fiscal quarter, we generated $37.3 million of adjusted operating cash flows. A primary driver of the strong cash flow was good collections performance during the quarter, which is a testament to the broader finance team's commitment to driving working capital improvements this year. I would note that due to a combination of seasonal factors in our annual cash bonuses being paid now in the beginning of Q2, we expect sequentially lower cash flow in the second quarter. Growth in cash flow continues to be a core objective for our management team and we view cash flow growth as a strong indicator of the competitive advantage of our business model and as an important source of financial flexibility as we seek to optimize our capital structure and fund future strategic growth. Before turning to guidance, I want to provide an update on our integration efforts related to our acquisition of logistics. Since closing this transaction in 2022, multiple E2open teams have worked hard to drive the integration process and meet our cost and operating synergy targets. I'm very pleased to report that shortly after the end of the first quarter, we completed the integration of logistics into our existing ERP platform. With this project behind us, the logistics integration is now substantially complete and all of E2open's four business operations and entities are on a single ERP instance. I'm also pleased to report that we have exceeded our synergy targets for the logistics acquisitions, total transaction synergies were originally projected to be just over $10 million. As of the end of Q1, we have action $10.1 million of synergy and now expect to realize approximately $11.6 million in synergy savings for full year FY'24. This completes my remarks on our fiscal Q1 2024 results. At this point, I'll turn to a discussion of financial guidance. In terms of new guidance for the fiscal second quarter of this year, we expect FY'24 second quarter subscription revenue to be in the range of $132 million to $135 million. This represents a growth rate of 0.3% to 2.6% as compared to the prior fiscal year first quarter. Turning to full fiscal year 2024. We are reiterating the full year guidance we issued last quarter, which as a reminder, consists of the following elements. We expect subscription revenue in the range of $545 million to $555 million for FY'24. We expect FY'24 total revenue to be within the range of $655 million to $670 million. We expect FY'24 gross profit margin to be within a range of 68% to 70%. Finally, we expect FY'24 adjusted EBITDA to be within the range of $218 million to $228 million. This range implies an adjusted EBITDA margin of 33% to 34% for FY'24. On our fourth quarter earnings call, in addition to providing formal guidance on revenue, margin, adjusted EBITDA, we also provide additional details around certain key drivers of cash flow generation for FY'24. Emphasizing the strong importance we place on cash flow generation as a key performance indicator, I would like to provide an update on our cash flow related expectations for the year. Overall, we continue to expect FY'24 to be a strong cash flow year and we're off to a strong start with our robust Q1 cash performance. In terms of key drivers for FY'24 cash flow, our expectation around full year CapEx has not changed. We still expect it to be approximately 5% of revenue in FY'24 versus 7% of revenue in FY'23, which include an M&A related CapEx. We still plan to drive significant year-over-year improvements in working capital and expect FY'24 working capital to be a modest use of cash. We now expect net cash interest to be within a range of $95 million to $99 million, an increase of approximately $5 million from our estimate provided last quarter. This increase is primarily because the LIBOR SOFR curve through our fiscal year-end has steepened, reflecting revised market expectations for sustained higher fed funds rates. Our new projection for full year cash interest includes the benefit of interest income we are earning due to our strong cash generation and also cash receipts on the interest rate callers we executed during Q1 that have now moved into the money because of rising rates. Finally, we still expect one-time cash costs including M&A integration, which were $29 million in FY'23 to be substantially lower in FY'24. Given our outlook for strong FY'24 cash generation, we still expect to reduce our net leverage to four times or below by the end of the fiscal year. To sum up, we continue to focus on driving cash flow and profitability while strategically investing in our business to lay the foundation for faster organic revenue growth. That concludes our prepared remarks. Thank you all for joining us today and we look forward to continuing the dialog as we move throughout the year. With that Michael and I are ready to take your questions. Operator, please open up the line and begin the Q&A session.
Operator: At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Adam Hotchkiss with Goldman Sachs. Please proceed.
Adam Hotchkiss: Great. Thanks very much for taking my questions. You talked a little bit about the organic sales efforts and some of the spend reallocation and reorganizing your sales efforts for organic growth. Could you just talk a little bit about how that's been going? How you think about what the right level of spend there is? And then when you think about the timeframe around ramping that new sales coverage for that reallocation, what does that look like in terms of driving business outcomes guys? Thanks so much.
Michael Farlekas: Hey, thanks, Adam. Good to hear your voice. Yes, so we've done most of that work in the early part of the fiscal year and we've kind of worked through kind of the change and the change is really more allocating more resource to our largest clients where we have the most opportunity. So in the middle and back half of the year, we'll start adding additional headcount as we kind of work into next year. So that kind of lift is behind us now and we would expect to see that step up with the other initiatives we have through the rest of the year all and the idea of getting our growth back to where we think it should be.
Adam Hotchkiss: Great. That's super helpful, Michael. And then Marje just on the subscription revenue guidance, it looks like you maintain that despite the pretty strong results in the first quarter, anything to read in there other than just being prudent around the uncertain macroenvironment?
Marje Armstrong: Yeah, thank you for the question, Adam. We're very proud of our Q1 results coming in above our guidance range. As mentioned in my prepared remarks, it was really primarily due to sort of timing of some large deals closing earlier in the quarter, which again is a good sign, but that's early in the year. We think it's prudent to maintain the guidance range it sets. And again it was set really two months ago and overall I would say things are progressing as we had expected. So no update to full year guidance.
Adam Hotchkiss: Great. That's really helpful. And then last one from me, just wanted to touch on the services business. Could you just give us a sense of how you parsed out that base of revenue between things like ongoing discretionary services that may be impacted like things you saw in the quarter versus the more one-time implementation costs? Just would be great to understand and get some more color on how much of that services revenue is exposed to some of the headwinds that you mentioned in the first quarter number. Thanks.
Michael Farlekas: Yeah, thanks for that. We have a fair amount of ongoing services work mostly from many of our very large high-tech customers who've been with us a long time, where they continually adjust and upgrade and tweak the implementation, many customers have been using the platform for eight to 10 years. That got curtailed a bit really in this period, a little bit after that last year, as you know, most of the technology companies were suffering from all these we saw macro conditions and their own desire to get more profitable. We haven't really kind of broken that out, but it's a fairly large percentage of that and that kind of reset which I think on a year-on-year basis is why it has come down. We expect that to kind of normalize as you get in the back half of the year as that work kind of comes back on. The other thing that I'll mention is that on the service business, we are giving up some of our services revenue to the system integrators as that part of our growth strategy starting to materialize. And then lastly, we are having additional subscription products that come with very low attach rates, mostly on the network side of our business. So those three things kind of in units and are affecting our services business for now, which is why we expect that to continue to decouple from our subscription growth rate going forward.
Adam Hotchkiss: Great. Really helpful. Thanks, Michael. Thanks, Marje.
Michael Farlekas: Thanks, Adam.
Operator: The next question comes from Taylor McGinnis with UBS. Please proceed.
Taylor McGinnis: Yeah. Hi. Thanks so much for taking my question. The first one I have is, I know, Greg hasn't started yet, but just any high-level thoughts you can share on expectations you have for him in this new role. I know you've talked to, like last quarter, you talked about some of the sales disruption and some of the changes, it sounds like that you've made you're starting to see some normalization there. But just curious if there is any future sales changes that you're anticipating or anything on that front? And then the second part of this question is, Marje, just curious how this impacts or not your comfort level with the guidance on the top line and the margins?
Michael Farlekas: Yes. Taylor, thanks for the question. As we've kind of articulated, we built this business over the past almost a decade, now eight years around the idea of scaling rapidly. We did that with the business 10x and became very profitable company in doing so. We kind of centered our attention on operations as that was the necessary requirement for that part of our growth strategy, and our COO, and it was titled that way because it was operationally oriented. I think our -- this part of multi-step plan and we're kind of getting to the place where we want to be is that we really need to have a regular way organic sales-driven leader that has grown up in that part of the world and Greg brings all those attributes from his experiences and mostly around selling for large companies at scale less companies with $1.2 billion and really understanding how to build a scaled sales team that is on repeatable process and that's kind of what's necessary for us going forward. So I think it's just the next part of our process, super thrilled to have them and then really excited about the go forward in terms of that. In terms of next steps, we've been making these incremental steps along the way. So I don't expect a rapid or dramatic shift, but just incremental improvement as we kind of build a very repeatable organic sales engine. Marje?
Marje Armstrong: Yeah, absolutely. Just to add to that in terms of the impact to our top line, again we're reiterating our full year guidance, a lot of the changes that we've talked about, it's all part of the plan for the year, right, and what's contemplated when we set guidance. And in terms of the cost impact go same way, there is no change to guidance from this change we talked about incremental investments on the sales team and go-to-market overall, but nothing really to update, again, this is all part of the plan sort of for the year.
Taylor McGinnis: Awesome. Super helpful. And then my last question is, you talked about, when you think about the back half of the guidance or what's implied for the full year on a sequential basis, it sounds like subscription revenue improving versus what we saw in 1Q, you talked about services revenue, sequential growth improving versus what we saw in 1Q. So just curious what you guys are seeing maybe from a bookings perspective or you talked about some large deals that closed in the quarter that I guess is giving you that comfort that we could see some recovery in those numbers?
Marje Armstrong: Yeah, absolutely. So as mentioned, as you're referencing, we had mentioned that we expect second half for the subscription business to be better and that's primarily driven really the first half, the churn being more first half weighted this year. And then, as you mentioned, we have seen some large deals closed in Q1, which is encouraging. But again in terms of the macro and overall, I would say, it's as expected sort of stabilizing, but we're not seeing anything very different than what we discussed two months ago in terms of the macro impact. And then on the services side, as we mentioned earlier, we do expect services revenues to be sort of flat to slightly up in Q2 and we are seeing some encouraging signs in the business, very excited about the new leadership there and just really the momentum that some of the changes are taking on and we're really hopeful that second half will be better based on the initial signs. And again, no real change in terms of what we saw when we last spoke two months ago.
Operator: Okay. The next question comes from Fred Lee with Credit Suisse. Please proceed.
Fred Lee: Hi, Michael and Marje. Good to hear from you. Last quarter, just to spend a little bit more on macro, just because last quarter you talked about the first half being tougher than the second half for fiscal '24. I was just wondering if macro deteriorated sequentially from fiscal -- from Q4 to Q1, it sounds like it stabilized a little bit, but I was just wondering just to be crystal clear if it's deteriorated or if it's stabilized into the end of Q1?
Michael Farlekas: Hi, Fred. How you're doing? I don't think it's deteriorated. I mean it's still -- the market is still choppy. And you look at kind of in other parts of our business, especially on the freight side, still kind of trying to work it through its process. On the trucking side, you see that all over the place. But I don't really think it's deteriorating. I just think it's choppy. Some company is doing well, some companies not doing so well. So I just think it's choppy for right now. But I would not say it's deteriorating, I'd say more -- it's more on the stabilizing side than deteriorating at this point. That's how I'd characterize it.
Fred Lee: Okay. That's good to hear. My second question is related to your appetite for incremental acquisitions. Now that the integration of logistics sounds like it's largely behind the company, it sounds like most synergies have been realized, have valuations come in the private marketplace enough to peak your interest?
Michael Farlekas: Yeah. Listen, we grow our business through acquisitions and we have a great mechanism through that. However, for us to really realize the potential we see, we really kind of need to focus our attention on a sustainable organic growth rate and kind of a more regular way sales organization as we are a scaled business now in our revenue size, that's our primary focus. I don't think it will be our primary focus forever, but is our primary focus for the time being. And in terms of valuations, look, there's going to be a time when all these smaller companies come to market, I don't think it's yet there yet and I think price expectations are still pretty high. So I think now is a great time for us to build an organic sales engine that we know we can.
Fred Lee: Got it. Thank you. My last question is just related to your conviction in churn declining in the back half as we kind of look through your subscription revenue, the implied numbers and the growth in the back half of the year, how do we gain conviction that trend is going to downtick over the next couple of quarters? Thank you.
Michael Farlekas: Yeah, we've done a lot of analysis on this and we kind of looked at it on page of Sunday, Fred. So we have a very specific way of understanding where our clients are and we have a pretty strong conviction that in the back half of this year and into next that churn normalizes. And remember, we have a world class churn that it ticked up a bit, it just happened that it happened having to happen in Q4 and in the first half of this year. So we expect it to normalize and then kind of be back where we were, and then obviously that has an impact for revenue as a lagging indicator and we expect that to kind of get better as we go into next year.
Operator: Okay. The next question comes from Mark Schappel with Loop Capital. Mark, please proceed.
Mark Schappel: Hi. Good afternoon. Thank you for taking my question. Michael starting with you. I was wondering, if you could just give a little more comments or details on the Ford win. I appreciate your comments, but I was wondering if you could provide additional details on maybe some of the products or solutions that you're using? And also what were some of the drivers for their decision to -- it looks like deepen the relationship with them?
Michael Farlekas: Yeah, it was a great win, they're a great company obviously, iconic company and couldn't be any happier, they're super important to us, have been and are obviously now. Unfortunately, we're not really able to kind of go into more details. We are thankful for them to allow us to use their name. That was a big lift, a big appreciation I have for them. Mark, I can speak a little bit about the automotive industry, what I see there, from a supply chain perspective. This is a generalized comment about automotive supply chains. Automotive supply chains are multi-tier and everyone knows this Tier 1, 2 and 3 suppliers. And for a long time, automobiles that made with readily available materials, I need aluminum, I need tires, I need things that are made in mass and readily available. The change that has happened in the last three years is that the supply materials and componentry is much more constrained on a global basis. So understanding deeper into a company supply chain, what their constrained supply is has a really big impact to what they can actually produce every day on a production line. And the further they can look out into what that supply base looks like, the more of the confidence we'll have to be able to not have a car that's 99.9% complete, but doesn't have the right chip has to be reworked. This is the same problem that the high-tech industry saw literally 20 years ago, which it, has to do with making a much more network-based connected supply chain. So that's an industry -- automotive industry perspective that I have and I've been talking to many automotive companies. So I just want to give you that perspective in terms of the auto industry and kind of the change that is happening within the auto industry, but Ford's a great company and I really can't speak any more about what we're doing with them other than our comments I've made in the press release.
Mark Schappel: I appreciate your comments there. And then secondly, in your prepared remarks, you noted that subscription growth well above guidance was still below what you thought was the company's potential. I was wondering if you just add some clarity to those remarks, was there something you saw in the quarter that led you to that or is this just going back to prior quarters?
Michael Farlekas: No, this is just a general comment, Mark. I appreciate that clarification, you allow me to make. I just think we have more potential to grow this business organically, and I think we have to kind of change our business a bit to kind of get to that potential. So it has nothing to do with the quarter, but with this, we have long-term guidance out there that's a 12% plus. We think that's very possible at these margin levels and I think that's an important clarification. We are focused on generating high margins in a business. We think we can do both, which makes us a very unique kind of company. That's what I meant by below our potential and I believe that we have greater potential to grow and we have some operational things to take care of in terms of our go-to-market.
Mark Schappel: I appreciate that. That's all from me. Thanks.
Michael Farlekas: Thanks.
Operator: Okay. The next question is from Chad Bennett with Craig-Hallum. Please proceed, Chad.
Chad Bennett: Great. Thanks for taking my question. So just want to make sure I understand the large deal commentary. I think, Marje, you indicated in your prepared remarks that you saw several large deals hit earlier in the quarter. And then I think Michael indicated that there were large deals that you actually recouped from prior quarters, this quarter, are those one in the same commentary wise?
Michael Farlekas: Yeah, good to hear voice, Chad. Yeah, I think what we're saying is, we had -- as we said last time, our large deal pipeline has grown, a lot of that's because they push and because of that we are able to get some of those and we had a pretty good quarter with large deals. And the days happened to happen earlier in the quarter, which kind of helped us out from a revenue perspective. We signed large deal. There somewhat impactful given kind of the quarterly revenue flow. So I think they are one of the same. That's a good catch.
Chad Bennett: Okay. So with that in mind, if you recoup some and I guess you incrementally added some, your calculated subscription billings were effectively flat year-over-year and you guided for subscription growth of, call it, 1.4% mid 1% growth for the second quarter here year-over-year. So I think other people have asked this on the call. So the conviction, I guess, churn improving in the second half, are you expecting the macro to improve in the second half. How do we -- and I'm not saying it's a high bar, but you got to see pretty significant reacceleration in the second half relative to where we are in Q2 and where billings were in Q1 to get to kind of your midpoint. So I'm just kind of trying to understand the logic there?
Marje Armstrong: So, Chad, I think when you're looking at billings growth, it was over 4% in Q1, I think maybe what you're not doing is normalizing out the logistics impact from year ago. But happy to --
Chad Bennett: Subscription billings?
Marje Armstrong: Yeah.
Chad Bennett: Okay.
Marje Armstrong: But happy to go through those numbers specifically with you later.
Chad Bennett: Sure.
Marje Armstrong: But I think you're not taking out the logistics from last year.
Chad Bennett: Well, logistics should have annualized, right?
Marje Armstrong: Yeah. So normalized for logistics, subscription billings year-over-year growth was just over 4%. But, sorry, I'd like to follow-up from that question, I just wanted to correct that, but --
Chad Bennett: Okay. Didn't you have the logistics, the full quarter last year also or am I wrong?
Marje Armstrong: So that's a -- you basically need to normalize that out from the balances from that quarter. It's a normalized change in the accounts receivables. But happy to walk through how that normalization works.
Chad Bennett: Okay. And so you don't expect any macro improvement in the second half, maybe that's the best way to ask it?
Michael Farlekas: I think we're expecting it to be, as we kind of said, Craig, I think we're kind of seeing -- as expected and we didn't build a lot of macro build into our overall plan for the year. So I think things are progressing as expected.
Chad Bennett: Okay. And then, is there a way to think about just in the existing base today, Michael, how many customers have more than two, three, four modules from a penetration standpoint?
Michael Farlekas: We do some of that work, and we know that, especially with the addition of the last two acquisitions, which were at more customers. And specifically, BluJay had a lot of larger customers added. We are seeing incremental pickup, but many of them have either one or two still when we kind of bring them in. So by definition, they come in with a -- as a single point solution company because that's all that coming at. So that process doesn't happen overnight. We have many examples of adding solutions to clients and we've kind of mentioned one on the call today. But that process continues. I think that's really the long-term potential we see in the business is that people don't change their supply chain applications overnight. They don't just change them out because they now have more access in a single partner. But over time, our probability of success is incremented because there are already clients already know us already have proven success with us. What takes me back to Mark's question around our conviction about growth is because we have a lot of solutions. We have a lot of customers, and it's just a matter of penetrating that over time. Which gets us back to the long-term nature of our strategy because those customers aren't going to go away and their need for supply chain software only increases over time.
Chad Bennett: Got it. Thanks for taking my questions.
Michael Farlekas: Great. Good to hear your voice.
Operator: The next question comes from Andrew Obin with Bank of America. Please proceed.
David Ridley-Lane: Good evening. This is David Ridley-Lane on for Andrew Obin. So just wondering on the second quarter guidance and what that implies sort of on a sequential basis for subscription revenue. How much of that is just the last bit of this elevated churn versus what you're expecting in bookings, what are sort of the puts and takes if you looked at it sequentially?
Marje Armstrong: I would say, churn as you mentioned, is a big part of that. And again, we don't provide specific bookings guidance, but obviously, churn has -- the elevated churn in the first half that we've talked about in prior quarter and this quarter has the main impact here.
David Ridley-Lane: Got it. And then based on the bookings so far this year, are you starting to, I know you mentioned couple of client wins, but more broadly, I think the large client behavior was the sort of the thing that have shifted on you, are you starting to see signs that that's improving?
Michael Farlekas: I'd say it's partly because we had a number of deals that were in our pipeline for a long time that come through. But I don't really see -- I still think big companies are very judicious about writing long-term commitments for large ticket items overall. And they're very cautious at this point. So they're not rushing to do that to the things that do get approved go through multiple steps. I don't think that really has changed. So the duration is -- has increased in our pipelines. We see that. Now obviously, that means they tick up a bit. And then when you have a lot of our shoes go, it goes down a bit. But I don't think there's a lot of change in behavior or sentiment at this point. I think people are still trying to understand this macro environment where you have high inflation, high employment at the same time and you have an increasingly aggressive monetary policy. So I think we're trying to figure out what that looks like as the year goes on. And there's been a forecasted recession now for the last five quarters or six quarters. And I think everybody is trying to figure out is that going to happen or not happen. So I think this is -- for us, in our particular markets, a bit of a normal and I think that normal is going to last a bit, to be honest with you.
David Ridley-Lane: Understood. Thank you very much.
Michael Farlekas: Great. Thank you.
Operator: We have no further questions in queue. We have reached the end of the question-and-answer session. This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.
Michael Farlekas: Thank you.